Operator: Good morning. My name is Jessa and I will be your conference operator today. At this time, I would like to welcome everyone to The New York Times Company Third Quarter 2015 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. Thank you. Harlan Toplitzky, Executive Director, Financial Planning and Analysis, you may begin your conference.
Harlan Toplitzky - Executive Director of Financial Planning & Analysis: Thank you, and welcome to The New York Times Company's third quarter 2015 earnings conference call. On the call today, we have Mark Thompson, President and Chief Executive Officer; Jim Follo, Executive Vice President and Chief Financial Officer; and Meredith Kopit Levien, Executive Vice President and Chief Revenue Officer. Before we begin, I would like to remind you that management will make forward-looking statements during the course of this call, and our actual results could differ materially. Some of the risks and uncertainties that could impact our business are included in our 2014 10-K. In addition, our presentation will include non-GAAP financial measures, and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our website at investors.nytco.com. With that, I will turn the call over to Mark Thompson.
Mark J. T. Thompson - President, Chief Executive Officer & Director: Thanks, Harlan, and good morning, everyone. This was a strong quarter for The New York Times Company on many fronts. We increased our overall revenue, decreased costs and achieved 19% growth in adjusted operating profit to $48 million in the quarter. Our digital subscription business was a particular highlight. We added 51,000 net digital subscribers in the third quarter, the largest number of net subscribers we've added in the quarter since Q4 2012. The number exceeded our expectations and demonstrates our ability to strongly grow our digital subscriber count more than four years after we launched our pay model. We attribute the success in the quarter to improved acquisition and retention tactics with notable progress in individually sold education subscriptions, demand which is boosted in the third quarter by the start of the school year, as well as continued advances in group corporate and education and in individual international sales. As we announced in the last call, we passed the 1 million digital-only subscriber mark early in the quarter. Overall, digital only circulation revenue growth was a solid 14%. During the quarter, Clay Fisher joined the company as SVP of consumer marketing from DirecTV. We believe that there remains considerable further scope to optimize and extend our digital pay model in the future as well as to improve acquisition and retention tactics and print; and Clay and his team will lead that effort. There was a slight decline in print consumer revenue as a decline in copies sold more than offset the benefit of January's increase in home delivery prices, but progress on the digital side meant that overall circulation revenue grew year-over-year by 1.1%. This is the best advertising quarter of the year despite a 5% year-over-year decline in digital advertising revenue, which was the result of fewer non-repeating technology and luxury launch campaigns and tactical shifts in a few categories as well as some impact from the transition to the new viewability standards that occurred at the beginning of the quarter. Mobile, video and papers all grew strongly in the quarter. We remain bullish about our digital advertising business and expect an immediate sequential improvement and return to mid-single digital year-over-year growth in Q4 despite even tougher comps and some continued impact from the shift to viewability. We're seeing early success with our new mobile ad product Mobile Moments, which, as we described in August, focuses on key moments of a user's day when Times journalism is particularly helpful in keeping readers informed and inspired with targeted short stories created by marketers or by our T Brand Studio. And we believe we have a great deal more room to grow our branded content effort. We recently launched T Brand Studio in London and we're already seeing strong demand for both the content and creative services that T Brand Studio provides to its clients. This is a business in which we see considerable potential. Next weekend, the Times will bring virtual-reality to our readers with a slate of new VR Films, a new Times VR app and the distribution of more than 1 million Google Cardboard viewers to our home delivery subscribers. This is precisely the kind of cutting-edge experimentation and powerful storytelling that we're uniquely positioned to bring to our readers. Sponsors GE and MINI will both deliver VR Films as part of the experience with GE's film created by T Brand Studio. VR branded content and Mobile Moments are all examples of innovation that improve the reader experience and meet marketers' hunger for compelling new ad solutions. They will all stimulate further growth in our digital advertising business. Now, ad blockers have been much in the news, so perhaps this is a good moment to give you our perspective on that topic. As you know, the Times' digital subscription revenue stream means that we are significantly less exposed than most publishers to the impact of ad blockers. Nonetheless, let me make it clear that we oppose ad blocking. The creation of quality news content is expensive and digital advertising is an important way in which we and other high-quality news providers fund news gathering operations. We are exploring a number of options, including, but not limited to, technical solutions to mitigate the impact of ad blockers should the threat increase. Let me turn, now, to print advertising, which was down only slightly compared to the same quarter a year ago. As we saw gains in print advertising in the New York Times tempered by the International New York Times, web print advertising was down. As you've probably heard, we've also had something to say recently about our future strategy. The core message is a simple one. Over the past five years, we've doubled our digital revenue and we now believe we have the opportunity to double it again to around $800 million by 2020. We plan to do that by reaching out to new audiences at home and abroad to more than double the number of the most engaged users, by further growing both our digital circulation and advertising businesses, by further developing our video and branded content business and by exploiting other B2B and B2C opportunities. I don't propose to offer you a detailed breakdown today, but I do look forward to briefing you on progress on this ambitious strategy in future calls. Before I conclude, I did want to make a brief comment on costs. We again achieved success in decreasing operating costs in the quarter. As I've said in the past, managing our cost structure continues to be a top priority, especially in our print products and services operations. As evidence of this, earlier this month contracts were ratified with three of our trade unions, which will achieve cost savings beginning in the fourth quarter of this year. And now, I'll turn over to Jim Follo for a more detailed financial review.
James M. Follo - Chief Financial Officer & Executive Vice President: Thanks, Mark, and good morning, everyone. The quarter was highlighted by growth – strong growth and profitability driven by solid digital consumer growth, robust increase in New York Times print advertising, and good cost controls. We delivered this solid performance despite the fact that digital advertising had a challenging quarter. Adjusted operating profit rose 19% in the quarter to $48 million, and adjusted diluted earnings per share was $0.09 in the third quarter compared with $0.03 in the prior year. We reported GAAP operating profit of approximately $22 million compared to $9 million operating loss in the same period of 2014. Circulation revenues increased approximately 1% in the quarter with our digital-only subscription revenue stream more than offsetting print declines. Digital-only subscription revenues were approximately $49 million in the quarter, an increase of 14% from the same quarter in 2014. We benefited from January's home-delivery price increase, although higher revenues associated with the new rates was outweighed by overall print volume declines. The print decline was driven by lower single copy revenues. Advertising revenues were down 2% in the quarter, with print advertising declining 1% and digital declining about 5%. The more modest print advertising decline was due to growth in the New York Times, its first quarter of growth since Q1 of 2014, which was more than offset by lower advertising in the International New York Times. In the New York Times, luxury, technology and telecom, travel and home furnishing categories all performed well in the quarter, while entertainment, financial and advocacy advertising were weak. The decline in the International New York Times was primarily driven by a decline in the luxury category. As usual, we experienced month-to-month volatility in advertising revenues as illustrated by the fact that overall advertising was up 1% in July and August while September advertising declined 6%. Finally, on the revenue side, other revenues increased 16% in the quarter. Building rental income, Crosswords and NYT Live all contributed to growth. Operating expenses decreased again in the third quarter by nearly $28 million overall, while adjusted operating cost declined $4.9 million or 1.5%. Operating cost declined in the quarter mainly due to severance, depreciation and amortization, as well as print distribution efficiencies and decreases in raw materials and outside printing costs. Our focus on reducing legacy costs remains a top priority, while at the same time we will continue to invest in growing our digital businesses. Our non-operating retirement costs were up in the quarter at $9.4 million from $8.3 million in the prior year due to higher multi-employer pension plan withdrawal obligations. Moving to the balance sheet, our cash and marketable securities balance was $873 million and our total cash position exceeded debt and capital lease obligations by approximately $443 million. The company has repurchased approximately 4.86 million shares of our Class A stock for $61.1 million as of October 27 under our previously announced $101 million share repurchase authorization. Moving to our Outlook for the fourth quarter, circulation revenues are expected to increase at a rate similar to the third quarter trend, driven by the benefit of our digital subscription revenue growth partially offset by lower print circulation revenues. We expect the total number of net digital subscriber additions to be approximately 40,000 to 45,000 in the quarter. Overall advertising revenues are expected to be down in the mid-single digits. As Mark has already mentioned, the tough year-over-year comparisons and the impact of viewability means that we expect to grow digital advertising revenues in the mid-single digits. Other revenues are expected to also increase in the mid-single digits. And fourth quarter operating costs are expected to decline in the low to mid-single digits with severance and non-operating retirement costs declining. And adjusted operating costs are expected to decline in the low-single digits. And with that, we will open it up for questions.
Operator: Your first question comes from the line of Alexia Quadrani from JPMorgan. Please go ahead.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you very much; just a couple questions. First on the digital advertising revenue growth in the quarter and the outlook for Q4, I guess, how much of the weakness was timing? And I know you're a bit more optimistic about the Q4 outlook for digital advertising, I guess, how much visibility do you have at this point in the December quarter on the digital advertising side?
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Good morning, Alexia, thanks for the question. I would say you're right, it's a moment in time and we are fairly bullish about our continued ability to grow digital advertising. I know Jim just shared the guidance and we have pretty good visibility into Q4 at this point. What I will say about Q3 is that we saw pressure on standard rotational display advertising and, at the same time, we continued to see pretty brisk growth in branded content in mobile and in video. I will also point out that Q3 is our smallest quarter of the year and Q4 is a much bigger quarter.
Mark J. T. Thompson - President, Chief Executive Officer & Director: And I think it's really just worth saying, Alexia, that the kind of structural changes which we're seeing in the wider digital advertising industry – what we, I think, as – for at least a year have been aware of some of the likely changes in the industry. Our investment in areas like branded content where we are incredibly pleased with progress so far, in video and, now, in virtual reality, in new ad units for smartphones, all of these are examples of us trying to, in a sense, build and in some ways build new areas of growth in digital advertising. Notwithstanding, some of the one-off issues in Q3, we are very pleased with our progress.
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Yeah, and I would say demand for – to your question about outlook for Q4, demand for all of the things that Mark just mentioned is very, very strong.
Alexia S. Quadrani - JPMorgan Securities LLC: And I guess my same sort of question on the print side, I mean, the print number, particularly domestically, was very impressive. But yet, there's a bit of cautiousness or a bit more conservatism maybe in the outlook for December, and I think you did mention tougher comps. I don't want to read too much into month-to-month because there is always so much volatility, but September looks like a little bit weaker than the earlier part of the third quarter. I guess, any color, again, on visibility into maybe October, or the December quarter in general, and sort of – and to any more detail maybe on the guide?
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Yeah, I'll say October has not been a particularly strong month, but November on both platforms looks very brisk and demand is quite good. And again, on the digital side, especially as a lot of the work moves into things like branded content and virtual reality, we are starting to get more and more visibility and we feel optimistic. Print is still very volatile and you see a lot of change from month to month, so harder to call.
Alexia S. Quadrani - JPMorgan Securities LLC: Okay. Thank you very much.
Operator: Your next question comes from the line of Craig Huber from Huber Research. Please go ahead.
Craig Anthony Huber - Huber Research Partners LLC: Yes. Good morning. I'm just curious on your comments there about October and November. What is your sense that's changing on the print side there and through the advertising categories? What's getting better and what's potentially getting worse?
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Yeah, that's a good question. Good morning, Craig. We've seen in Q3, and I think this will continue in Q4, real briskness in the luxury business. We saw real briskness in Q3 in the technology business. I think that will continue. And then, there are other categories, like retail, where we just have less visibility and where there tends to be more volatility.
Mark J. T. Thompson - President, Chief Executive Officer & Director: This isn't very helpful if you're just trying to construct a model, I know, Craig, but I mean, the point about volatility is our practical experiences with being in a weak month does not give you much guidance about whether....
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Yeah.
Mark J. T. Thompson - President, Chief Executive Officer & Director: ... next month will be weak or strong. And the strength in November after October would be an example of that.
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Yeah.
Mark J. T. Thompson - President, Chief Executive Officer & Director: I mean, I think what you can say stepping back and looking at print is that the second half of 2015 is turning out to be, net-net in the U.S., stronger than the first half.
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Yeah. I'll say two other things about that. In the areas where we've made innovations and investments in print, like T and the Sunday magazine and our new Men's style section, we are continuing to see very nice growth there, so – to the extent that that's helpful as you think about the rest of the year. That's definitely important – an important part of what made print fare so well in Q3.
Mark J. T. Thompson - President, Chief Executive Officer & Director: Yeah.
Craig Anthony Huber - Huber Research Partners LLC: Then also, some detail on the digital ad revenue, please. I'm curious, what's the updated percent that comes from mobile advertising on the digital side versus video, please?
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Yeah, we're still seeing nice growth in mobile, so I think we're just under 20% in Q3, which we're excited about. And as Mark has now mentioned a couple times, we put a new mobile ad product into the market unit called the Flex Frame and a product called Mobile Moments, and that launched pretty late in the quarter and there is quite a bit of demand for that. So I'm optimistic about mobile continuing to grow, in general and as a percentage of the business. Video is still a relatively small percentage of the business, but growing, and branded content is becoming a much more meaningful percentage of the business.
Mark J. T. Thompson - President, Chief Executive Officer & Director: It's obvious that – and we won't disclose numbers, but the initiative we are doing in virtual reality is going to significantly boost...
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Yeah.
Mark J. T. Thompson - President, Chief Executive Officer & Director: ... revenue from – advertising revenue from video over the coming weeks.
Craig Anthony Huber - Huber Research Partners LLC: And also, I just wanted to ask, given all the discussion about advertising blockers out there, and so I'm curious what you're potentially contemplating. And I ask this in this context: sometimes I notice when I go on the Washington Post website I'll get a window that pops up and it'll ask me to turn off my ad blocker if I want to read the rest of the article. Isn't this situation pretty simple to put in place, put a window that pops up to tell me to turn off my ad blocker so you can get that ad revenue, otherwise I can't see the article (19:38)?
Mark J. T. Thompson - President, Chief Executive Officer & Director: Well, Craig, first of all, they're giving you the right advice there, but, Meredith, do you want to talk about...
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Sure. Sure.
Craig Anthony Huber - Huber Research Partners LLC: I should also just get rid of my DVR as well. We should all do that, right?
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Yeah. This is – you know, Mark sort of gave our company position on ad blockers. This is a situation we're monitoring very closely. I think the Times is kind of at industry average in terms of the rate of adoption of ad blockers on the web where they're most prevalent now so far. And what I would say is we – we are looking very, very closely at this and exploring a range of options that would advantage us in terms of how we interact with our readers, how we run our subscription business and how we continue to drive a meaningful advertising business. I think one of the sort of underlying reasons for ad blockers is the idea that digital advertising, in general, in the industry hasn't been seen by the end user...
Mark J. T. Thompson - President, Chief Executive Officer & Director: Yeah.
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: ...as good enough. So we are hard at work at making better digital advertising, creating more relevant experiences for our users that kind of match the surrounding New York Times product and editorial experience; as Mark said, lots of technical work and experimentation underway as well to deal with the issue.
Craig Anthony Huber - Huber Research Partners LLC: Sorry, for the editorial but, I mean, for the Washington Post experience I briefly described here, I mean, having a window pop-up asking to turn off my ad blocker so I can read the article, certainly, I didn't view it very onerous. I thought it was fair if I want to read the whole article...
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Yep.
Craig Anthony Huber - Huber Research Partners LLC: ...I've got to let some advertisement flow to me and stuff. I mean, it seems like a very simple thing to put in place, and you guys are one of the industry leaders out there, particularly on the paywall. I don't understand maybe why you guys aren't potentially putting this in place to help you...
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Yeah, as we've sort of suggested to the world in our Path Forward memo, we are incredibly focused right now on our most engaged users and their experience. So we're evaluating all options with an eye, first, toward what is the best possible user experience that we can provide, and we ultimately need to make sure that experience is consistent with our business model.
Mark J. T. Thompson - President, Chief Executive Officer & Director: And you can certainly expect to see us experimenting – I mean, we'll do this methodically, but experimenting with different solutions, exploring reader reactions and working out...
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Yes.
Mark J. T. Thompson - President, Chief Executive Officer & Director: ...what works best. And also, I'm kind of learning as – I mean, because the actual technologies behind ad blocking are themselves changing very rapidly, you could see us kind of developing our responses over the coming months.
Craig Anthony Huber - Huber Research Partners LLC: My last housekeeping question please, on the print volumes for the quarter, Daily and Sunday, what was the percent change there, year-over-year, please?
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Daily down 7.4%, and that had some to do with just the late Labor Day and the timing of that in the quarter; Sunday down 5%.
Craig Anthony Huber - Huber Research Partners LLC: Great. Thank you.
Operator: Your next question comes from the line of Doug Arthur from Huber Research. Please go ahead.
Douglas Middleton Arthur - Huber Research Partners LLC: Yeah, Mark. I know you don't want to get into a deep dive on your $800 million digital target by 2020, but in Dean Baquet's treatise The Path Forward (sic) [Our Path Forward], he talks about moving from a broadcast model to a one-on-one relationship with readers and that smartphones and mobile distribution is key. Do you have the wherewithal to make that transition now, or is this going to be – involve a significant investment to get there in terms of the data necessary for a more customized relationship with your readers? How do you sort of see that playing out? Thanks.
Mark J. T. Thompson - President, Chief Executive Officer & Director: I mean, you'll understand, Doug, that we already are set up with a very big and talented product data and technology arm, which is constantly trying to optimize our digital products and make them increasingly more relevant to users in America and around the world. I think the pathway of – I mean, Our Path Forward, actually – I am kind of – I'm a sort of co-author of that. And the idea of driving deeper engagement, recognizing the connection between deeper engagement and monetization, both through digital subscription and through digital advertising, and the idea of driving deeper engagement by making our journalism and our digital products more and more relevant and, indeed, indispensable to readers here and around the world is the centerpiece of our strategy. We believe that there is – I said in my remarks Clay Fisher has just arrived as SVP of Direct Marketing from DirecTV. We believe, and I think you can see it in our numbers in this quarter, there is a lot we can do, as it were, with near at hand already, significantly engaged audiences that we can, as it were, bring further into the fold. That's step one. Doing more fundamental audience engagement work. We started that seriously after the Innovation report last year to begin to, as it were, develop and prep audiences who are somewhat further out and learning continuously by understanding their behavior, what works for them. And thinking about user context, which user context can be personalization. It can simply be detecting where a given user is in the world and everything from time of day to what kind of sports are they likely to find most interesting; optimizing the experience in that regard. We will probably have more to say in subsequent earnings calls about how we think of the investment profile, but to be clear, we're trying to build a New York Times Company which is continuously engaged with its audiences and continuously improving the relevance and value of what we do, our journalism, the user interface, the whole user experience. So, rather than seeing this as entirely needing injections of large amounts of new money, this is making the most of our existing operations as well. But we'll – I'm sure in future calls we'll have a little bit more to say about the investment profile.
Douglas Middleton Arthur - Huber Research Partners LLC: Okay that's helpful. And then, in terms of the acceleration of digital subs to 51,000, how big a role is capturing more international subs playing in that acceleration? I know you went to – I believe you now have a number of countries with local currency pay methods. Are you – do you feel you're still just scratching the surface internationally, or are you well on your way to realizing your opportunity there?
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: I would say we are just at the beginning of realizing all of the audiences in the world who want to engage with The New York Times. So we expect this will continue to be a real growth area for us. We made some important executional improvements over the first part of this year and you saw the strength in international in our second quarter number. I think you'll see that again going forward. So we're very optimistic about international, and I'd say it's an area where we will continue to put effort and resources. And we have a fairly clear path, at least in the near term, to continue to do things that improve the customer journey, including more in currency billing. So you see, for example, a very direct result when you move to in currency billing in that market. And we have a number of other things like that that we are just beginning to implement.
Douglas Middleton Arthur - Huber Research Partners LLC: Great. Thank you.
Operator: Your next question comes from the line of Kannan Venkateshwar from Barclays. Please go ahead.
Kannan Venkateshwar - Barclays Capital, Inc.: Thank you. Just a couple from me. I mean, first is, Mark, you've been on the video side of the business for a big part of your career. But when we look at others in the industry, like (28:13) getting major valuations around video and then launching their platforms internationally, and given the kind of brand equity that you guys have and the content that you guys have, why hasn't The New York Times been more aggressive around video and the strategy around that platform?
Mark J. T. Thompson - President, Chief Executive Officer & Director: So this is an interesting question. Obviously, Kannan, one, there is – I mean, my background in TV, one of the things it taught me is there's a significant difference between entertainment and news in terms of audiences and so forth. And short form entertaining and entertainment video, in many guises, we're seeing some astonishing consumption numbers in America and around the world. It's not as clear to me that there are breakout examples, yet, in the more serious hard news categories. However, what I do want to say, I mentioned VR as an example of innovation by the Times in video. We are looking – we are in the process of changing leadership in video. I expect to continue to invest strongly in video. I think there is much more we can do. We've seen with T Brand Studio how we can bring innovation and creativity and get really dramatic revenue growth in a business by finding the right creative solutions. I'm working very closely with Dean Baquet, with Meredith, with Kinsey Wilson and others in looking at video with a view to saying over the last couple of years we've done a lot to improve the quality of video. I think we've got a lot to be proud of there. We've been gathering many awards from that. In terms of scale and impact, I don't think we've yet achieved as much as we can, and one of the areas I look to growth in 2016 and the years after that is by significantly beefing-up the impact and, ultimately, the revenue we get from video.
Meredith Kopit Levien - Executive Vice President & Chief Revenue Officer: Yeah. And I think I'll just say on the revenue side, it's worth saying that as branded content becomes a much bigger business for us, a more meaningful part of the business, we are doing – we are producing more and more work in video or multimedia. So it is becoming a substantial part of the digital ad revenue, video-specific branded content.
Kannan Venkateshwar - Barclays Capital, Inc.: Thanks. And just separately on the digital front, given this kind of scale that you guys are talking about now, and $800 million and so on, potentially doubling the topline, are there alternative structures for the company to reflect the value of that business better than it is today, whether it's in the form of a tracking stock – or is that even part of the discussion internally, or is that something that – something you would focus on going forward?
Mark J. T. Thompson - President, Chief Executive Officer & Director: What I want to say, Kannan, it's really worth saying that we are a journalism play. We are a news and features and opinion provider with multiple platforms, and we're very interested in the synergies between the platforms. We think – I would say that our ability to move 1 million plus pieces of Cardboard – Google Cardboard to our physical home delivery subscribers so they can use their smartphones to use a New York Times app to look at virtual reality is a kind of example of how we think – I think of print and, indeed, the magazine potential within print, web, smartphone, live events – NYT Live, we have big ambitions for our live event business, as multiple platforms which add up to more than the sum of the parts. And, of course, we will always look at whether there are superior ways of expressing the total value of what we do. But as an operating company, I'm very interested – I mean, I believe print is going to be with us as a highly cash generative, albeit mature, business for many years to come. I don't want to lose the advantage we can have if we run our business well of synergizing between these different platforms.
Kannan Venkateshwar - Barclays Capital, Inc.: Great. Thank you.
Operator: There are no further questions at this time. I'll turn the call back over to the presenters.
Harlan Toplitzky - Executive Director of Financial Planning & Analysis: Thank you very much and have a good day, everybody.
Mark J. T. Thompson - President, Chief Executive Officer & Director: Good bye, everyone. Thank you.
Operator: This concludes today's conference call. You may now disconnect.